Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the F-star Therapeutics, Incorporated Second Quarter 2021 Earnings Call and Corporate Update. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will follow at that time. As a reminder, this conference will be recorded and available for replay. I would now like to introduce you to Lindsey Trickett, VP of Investor Relations for F-star. Please go ahead.
Lindsey Trickett: Hi, and good morning, everyone. Thank you for joining us. With me today is Eliot Forster, CEO; and Darlene Deptula-Hicks, our CFO. We announced financial results pre-market today for the quarter ending June 30, 2021. You can access the press release on the Investor Relations page of our website at F-star.com. Before we get started, let's quickly run through our forward-looking statements. Please note that as a part of our discussion today, management will be making forward-looking statements. These statements are not guarantees of future performance, and therefore you should not place undue reliance on them. Investors are also cautioned that statements that are not strictly historical constitute forward-looking statements. Such forward-looking statements are subject to a number of risks, and uncertainties that could cause the actual results to differ materially from those anticipated. These risks include risks and uncertainties detailed and F-star's filings with the SEC. The company undertakes no obligation to update any forward-looking statements in order to reflect events or circumstances that may arise after the date of this conference call. With that, I'll hand it over to Eliot. Go ahead, Eliot.
Eliot Forster: Thanks Lindsay. Welcome everyone to our second quarter 2021 earnings call. It's great to speak with you today and provide a corporate update on what's been another positive past few months. The further updates of the financing that we completed in the second quarter is that we raised over $80 million in gross proceeds between the underwritten public offering and the aftermarket facility. This now includes a group of top tier institutional investors. We now have seven equity research analysts covering F-star and the strength and financial position ensures delivery of future clinical milestones, which I'll highlight today. On the clinical side, we're pleased to share with you today an updated strategy for the development of FS118 or PDL-1 LAG-3 bispecific antibody with the addition of checkpoint naive patients to the clinical activities. It's an extremely exciting opportunity for patients, as well as the F-star, and I'll say more on that shortly. FS222 and FS120 continue to progress through first in-human clinical trials. You may have seen last week that we announced a collaboration with Merck known as MSD outside of the U.S. for combining FS120 with Keytruda. We're excited to have completed this partnership agreement and plan to initiate the FS120 Keytruda combo trial next year. In keeping with our preference for making program updates at conferences, we'll be sharing news on FS120 at this year's ESMO meeting. During the quarter, we've reported significant progress with our STING programs, both of the agonist and the inhibitor. We licensed our preclinical STING inhibitor to AstraZeneca for future development and commercialization, and gave a clinical update on the STING Antagonist, SB 11285 just in this past month. During the quarter, we're also granted a composition of matter patent protecting SB 11285 in the USA. This patent continues through 2037 without the additional patent extensions. I'll now remind you of the pipeline, provide a bit more detail on each of our programs, and then review our upcoming milestones. On Slide 4, you can see that we have four clinical stage programs underway, and that we continue to work with our long standing partners Denali and Merck KGaA, of Darmstadt. And now our new partner AstraZeneca. We've been delighted with these partnerships to-date and I look forward to further positive and fruitful collaborations. Here on Slide 5. You'll see that FS118 is currently being studied in an ongoing Phase 2 proof-of-concept trial in patients with PD-1 resistant head and neck cancers. We anticipate reporting on this study in the first half of 2022. In addition, we're expanding into checkpoint inhibitor, naive patient population, and I'll provide further details on this in the coming few slides. FS222 is designed to improve outcomes for patients with PD-L1 low tumors, an area with a significantly high unmet medical need. You'll remember that FS222 is uniquely engineered, such that the relative affinities to each binding target do not cause them to self-compete. This avoids the hook effector, or bell-shaped curve that we've seen in other drugs targeting CD137 and PD-L1. FS120, as I mentioned earlier is currently in the ascending dose phase, or the first in-human trials as a monotherapy. We're seeking to determine a biomarker driven pharmacologically active dose as the point at which to trigger going into combination with Keytruda. Again, we'll provide a more detailed update at the upcoming ESMO conference. In the ongoing Phase 1 study, SB 11285 as a monotherapy, and in combination with Tecentriq with safe and well tolerated and we're pleased to observe early signs of clinical benefit in the form of disease stabilization. This has encouraged us to continue to additional dose expansion cohorts for this promising drug. This second generation STING Agonists can be delivered systemically, and with rapid cellular uptake. We anticipate providing additional information on the progress of this trial in the first half of next year. Meanwhile, we'll continue to explore wider strategic opportunities for the program. Moving to Slide 6, I'm pleased to give you some detail on the expansion of the clinical development of FS118 activities. You might remember that we saw positive data from the Phase 1 trial in a wide cohort of heavily pretreated acquired resistance patients, in particular in patients with specific expression of PD-L1 and LAG-3. Based on these data, we initiated the ongoing Phase 2 proof-of-concept study in patients with acquired resistance head and neck cancer. This group of patients have few therapeutic options available to them and therefore represent a subgroup of the whole patient population. However, we believe that success here can lead to a faster way to market for FS118. And we plan to provide a clinical update in the first half of 2022 on the progress of this proof-of-concept study. The recent ASCO conference marked a milestone for immuno-oncology with the validation of LAG-3 target through a pivotal Phase 3 trial in melanoma. The whole oncology community was delighted to see a third real option emerge for patients and the huge opportunity this represents. The external validation of LAG-3 coupled with our own preclinical and clinical data means that we'll be starting an additional trial with FS118. This will be in both non-small cell lung cancer and diffused large B cell lymphoma in patients who are naive to checkpoint inhibitor therapy. Like all of our programs, the clinical trial will be a biomarker enriched, and we anticipate starting later this year. We've been a firm believer in the potential of LAG-3 as a significant checkpoint inhibitor pathway in immune oncology. And as we anticipated, we are happy to see the field continue to progress in this important area. Despite the significant advances of the past two decades, it remains that large numbers of patients did not gain long lasting benefits from PD-1 or PD-L1 therapy. We are fully committed to provide patients with the treatment options that not only avoid the resistance to first generation checkpoint inhibitors, but also potentially transform their experience of a treatment of advanced cancers, but in terms of both disease control and greater quality of life. We continue to be led by the data. We'll always be looking for ways to bring additional benefits to patients with our next generation of immune oncology treatments. And before I hand over to Darlene, Slide 7 is a reminder of what the next 24 months hold for F-star. We expect multiple data readouts, which will share medical or scientific conferences highlighting clinical progress across our four programs. Later this year, you'll see data on FS120, and on FS222. Next year, we plan to share data on FS118 and that acquired resistance patient population, show you the continued progress of SB 11285 and its clinical trial and give further updates on FS120. As we move towards a combination with KEYTRUDA. I believe we have a very bright future based on our tetravalent, bispecific platform technology. We look forward to sharing these upcoming milestones with you as well as progress and bringing additional programs from our discovery efforts into the clinic in the near future. I'm grateful for the support of our new and existing investors who are with us on this journey to transform the lives of patients with cancer. Also for the employees at F-star who, work tirelessly to progress life changing medicines and create value for our shareholders. And with that, I'll hand over to Darlene to give you an update on our financials. Darlene?
Darlene Deptula-Hicks: Thanks, Eliot and good morning, everyone. As Eliot highlighted, it's been a quarter of real financial and clinical progress for the company. We're extremely pleased with our recent equity financing and the top tier investors who have joined us. I'll now go through the financial results for the second quarter of 2021, which provides a solid platform for executing on the company's strategy, including the expanded clinical development plan for FS118 that Elliot just outlined, and we'll be happy to take questions at the end. Cash and cash equivalents as of June 30, 2021 were $81.6 million, resulting from our successful $82.6 million public offering of common stock and proceeds from our ATM equity offering program in Q2, which netted a combined $77.3 million after fees and expenses. We also entered into a $10 million debt facility in Q2 and drew down the full amount on that facility. In our Q1 earnings call, we guided to a cash runway of well into the second half of 2023. We believe our current operating plan, including the expanded clinical development plan for FS118, will cost us about a quarter of cash runway. We believe our cash continues to be sufficient to fund our current projected operating plan, including the delivery of multiple clinical milestones laid out by Eliot earlier across all four of our programs. Turning now to revenue, revenue for the quarter ended June 30, 2021 was zero as compared to $500,000 for the same period in 2020. This $500,000 decrease is due primarily to a reduction in research and development services revenue with partners Merck and Denali. Currently, we do not have any ongoing research and development service arrangements with either partner as all programs have come to an end of the research phase, and have now transition to the milestone phase as expected, and this is consistent with our collaboration strategy. As a reminder, our revenue typically includes amounts that relate to upfront payments, milestone payments, option exercise payments, and/or amounts historically due to our research and development services. Total research and development expenses were $8.4 million for the second quarter of 2021 as compared to $2.1 million for the prior year second quarter. This $6.3 million increase is primarily due to $2 million increase in manufacturing costs, including a manufacturing batch in the second quarter of 2021. A $1.4 million decrease in the U.K. research and development tax incentive credit quarter over - comparative quarter, an increase in clinical CRO and clinical assay costs of $1.2 million resulting from having four clinical programs this quarter as compared to one clinical program this time in 2020. An increase in R&D compensation related costs of about $700,000 and then another $1 million of general project related costs. R&D expenses include $0.5 million and $0.3 million of non-cash stock-based compensation expense for our Q2, 2021 and 2020 respectively. Total general administrative expenses were $6.5 million for the quarter ended June 30, 2021, compared to $3.2 million for the comparable second quarter of 2020. This $3.3 million increase is primarily due to an increase of $1.5 million in legal and professional fees, $1 million in share-based compensation expense, $0.5 million in insurance and other costs associated with being a public company and $0.3 million and other G&A costs. G&A expense also included $1.3 million and $0.3 million of non-cash stock-based compensation expense for Q2, 2021 and 2020 respectively. Net loss for the second quarter of 2021 was $15.6 million or $0.92 per basic and diluted share, compared with a net loss of $6.5 million or $3.53 per basic and diluted share for the second quarter of 2020. In closing over the past quarter, we've seen interest continue to grow in F-star in our bispecific platform in our clinical stage programs, as well as positive conversation with the investment community. Additionally, we're now covered by seven equity research analysts and are encouraged by their engagement. We believe our solid financial position supports delivery of multiple clinical milestones across all four of our programs, and we of course will continue to ensure the effective financial management of the company. With that, thank you all and we'll now open the call up for questions.
Operator: [Operator Instructions] Your first question is for the line of Daina Graybosch with SVB Leerink.
Daina Graybosch: Good morning. Good afternoon. Maybe two for me that are related. One, I wonder if you could speak to the biologic rationale for selecting non-small cell lung cancer and diffuse large B-cell lymphoma for the new FS118 trial? And then the second question is what, is your current belief on, which LAG-3 ligand are dominating cancer and whether this varies across tumor types. And do you have any data on which ligand and the suites the types you're now pursuing proof-of-concept studies is most relevant?
Eliot Forster: Thanks for the questions. Of course, with both non-small cell lung cancer and B-cell lymphoma, we have a underlying hypothesis that you and I've discussed on a number of occasions, which related to the co-expression of LAG-3 and PD-L1. Clearly some of the details around that will only be revealing later. But I think it's fair to say that we've observed data - our own and some externally in both of those settings that give us cause to believe that we can provide superior benefits to patients in those disease settings because of that co-expression. So it's LAG-3/PD-L1, co-expression and more details later on that. With respect to the ligands, it's a kind of interesting case that more and more ligands appear to be coming along. As you may recall that for us, our dominant mechanism is actually LAG-3 cleavage from the surface of those exhausted immune cells. So to some extent, the ligand interaction is irrelevant. And because we caused that shedding of the LAG-3 receptor in its first instance, and of course, as you know - although no one else has published it, so we can't be sure it's not totally unique, but at least it's rare, if not unique mechanism that we provide through the two plus two mechanism with our bispecifics.
Operator: Next question is from the line of Matt Phipps with William Blair.
Matt Phipps: Yes, thanks for taking my questions and glad to see the expansion here with 118 after the Bristol data. I guess maybe first in lung cancer, pretty when I say crowded space they’re definitely some real entrench regimen. Do you think that maybe the co-expression biomarker patient population differs from maybe just a pure PD-L1 high population or is there some kind of niche you think you can carve out there? And then, up and as well though, I really don't have to say too much, but I obviously saw that this one point trial and progress poster. Is there any other data to come or was it kind of some updates in that trial and progress poster?
Eliot Forster: Sure, hey Matt and nice to talk to again. Good morning. And I'm so pleased to be talking to all the analysts this morning. So - with respect to lung cancer for now, I'll just stay with the LAG-3 PD-L1 co-expression, as you might imagine, we are not going to try and knock Keytruda or Opdivo kind of off their spots in the whole population. We've certainly seen information in co-expressing patient groups within lung cancer non-small cell lung cancer that we believe will give us an advantage and over the rest of this year will start to rollout some of that thinking. And through trial design, you'll begin to see how that thing is emerging. With respect to FS128 ESMO, it is a trial in progress update. I think, as we've discussed in the past, this is a first-in-class dual agonist. I know that, there have been some questions as to how we will progress against dose escalation and so on. And of course, I think as we make clear in the MSD, Keytruda agreement. What we're really looking for is early signs of biological activity to give us the confidence to go to that combination. And we'll talk about some of the underlying rationale and biology at ESMO, within the confines of the ESMO materials that were allowed of course.
Operator: Your next question is from the line of Hartaj Singh with Oppenheimer.
Hartaj Singh: Great, thank you, Eliot and everyone for the update. Just a couple of questions. One is Eliot, on this new strategy with FS118, the clinical trial readout, would you expect to be doing sort of Phase I to sort of trial where you have initial cohorts stratified and then looking for a signal and then expanding them or will it be more a regular sort of a trial where you're just going to recruit patients in non-small cell lung cancer DLBCL and just going forward with that? Just any thoughts that would give us any contours around that? And then secondly, how does this change your strategy with the acquired resistance patients with FS118? Assuming you have good data in the first half of next year, the first quarter of next year? Would you continue on with that strategy? Thanks for the question.
Eliot Forster: So with respect to the expansion into the checkpoint naïve patient population, I can't reveal too much about the design of the protocol at this stage. Clearly, that will come a little bit later in the course of this year. But again, I repeat - look we've got a biomarker strategy around this. We know that there are specific cohorts within both of those patients set to the B-cell lymphoma and non-small cell lung cancer that we believe will give us the best response. I think you'd expect us to be sensible, and go through an adaptive design type of approach to make sure that we weren't throwing all of our eggs into the basket at once. But we also have very early decision points in order to accelerate when we need them. And we are certainly going after areas in both of those settings where we believe there is an advantage with our two plus two format. With respect to the acquired resistance, we're really excited about the prospect in the acquired resistance population, as you know, probably better than I do. These are patients with all different disease types who have had a checkpoint therapy had a response and then become refractory. And where they tend to go at least in the West, is then to palliation and chemotherapy, and you're looking for a quality versus duration of life balance. So we think there is a genuine medical need in that setting. And hopefully, as our data play out in the first half of next year will be in a position to expand rapidly into what we hope now clearly, this is always subject to discussions with regulators, what we would hope would be a rapid progress towards registration. And that would run in parallel to the checkpoint naïve. I guess just a word on checkpoint naïve we've looked to the data that emerged out of the recent ASCO conference. We've continued to monitor our internal non-clinical and clinical data. And we feel the opportunity we've alighted upon in those two settings is really important, but it doesn't diminish our enthusiasm, nor ambition for the acquired resistance population as well.
Hartaj Singh: Great, Eliot thank you. And then just quick follow-up, are there any additional insights you have from transactional data or third-party data that are giving you insights into 222 or 120 for other tumor types that you could look to get into over the next six to 12 months? Thanks for the question?
Eliot Forster: Sure, thanks again Hartaj. So look where - both of those programs will give a trial in progress updated ESMO with FS120. And I think we'll just need to wait for that before we can say any more about. With 222, we watch with increasing interest what's going on with the other clinical stage molecules. We're very excited about the progress of FS222 in our hands. We continue to believe that the real opportunity for our molecule because of 222 is in the low PD-L1 setting. I think I even mentioned in some of my opening remarks here that we think we have a unique opportunity with 222 given the tuning of the PD-L1 CD137 ratios we've achieved. And we continue to watch other molecules with - targeting the same to cancer targets, to see what's coming up. But as we sit here today, what we've seen internally, and what we've seen externally doesn't diminish the enthusiasm we have for that that low PD-L1 setting and doing well for those patients, who again don't have many options.
Operator: Your next question is from the line of Yale Jen with Laidlaw & Company.
Yale Jen: And thanks for taking the questions. Regarding 118 and the PD-1 the in-patients checkpoint and - even patients we noticed that that in a non-small cell lung cancer, some of the readouts, particularly the progression free survival and/or our which are response rate, which is not superior greater than the chemotherapy during the trials. So do you feel these are some aspect you think that the combination will have a better shot to improve them, than I have another follow-up question?
Eliot Forster: Sure, so look I think in terms of our base hypothesis, if we set aside the kind of LAG-3/PD-L1 co-simultaneous inhibition, we believe that mechanistically LAG-3 is very, very important. Obviously, that's now been established at the BMS data in melanoma, but it's important in that exhaustion pathway emerging in the in the checkpoint treated patients. And so one, I guess a macro hypothesis would be that we would hope that certainly the PFS would be extended because we would have in cleaved LAG-3 from the surface of those exhausted T cells would prevent that exhaustion pathway, even initiating and/or - and to create the kind of checkpoint inhibitor better as it were, I think is probably the underlying thinking. I hope that addresses your question, yes if that was the direction of it.
Yale Jen: Yes, absolutely that's very helpful. Maybe the follow-up is that - again in terminal discount – checkpoint that new patient, do you want to measure into PD-L1 level so one, two or choose patients or security of patients or any other color at this point and you know provide and thanks?
Eliot Forster: Yes, thanks for that same question. I'm going to have to disappoint you with that one I'm afraid. We will speak about the details. Nice try, though we'll speak about the details of the trial design at a later stage. Thanks.
Operator: Your next question is from the line of Patrick Trucchio with H.C. Wainwright.
Patrick Trucchio: Just a couple follow ups on SB 11285. First can you discuss the dose including dose escalation ongoing and how the data generated to-date is to inform the further development. And secondly, I'm wondering as part of the update in 2022, if you would have an update on potential efficacy, and if so, which patients and which doses? And what would you be looking forward to give you confidence to move forward to Phase 2? And then thirdly, would you look to develop SB 11285 on your own beyond Phase 1 or would you look for a collaboration partner?
Eliot Forster: So we announced I think a couple of few weeks ago that 11285 had reached the so called PD-1 protocol level. And that is five mono-therapy doses in the escalation and three-combination with Tecentriq doses. We've certainly seen enough from a safety tolerability. And I think as I said, some kind of early signs of clinical benefit, by the way of stabilization of disease, to give us confidence to press on beyond that. And that's what we've done and we announced and we'll continue with that. We should have clinical update in the first half of next year with that and maybe if we add additional doses beyond that, we'll keep going. The thing is - to give us confidence is there a kind of two halves to it? There's a kind of obvious bit which is, is the drug safe and well tolerated and is it beginning to give benefit either as a mono or in combination with a PD-L1. But the other is, is it fulfilling therefore the characteristics of a kind of second generation of STING agonist. And we've already seen some clear signs of that the PK levels we achieved and have talked about. They certainly correspond with that we'd expect to enable the targeted cellular uptake, immune cell targeted cellular uptake. And we're also seeing a couple of other markers that we haven't announced that that give us confidence that the drug is generating the pharmacology were interesting 11285 is generating the pharma culture interested in. And so it's those elements, so the classic clinical profile, safety and some signs of efficacy, as well as those second generation STING characteristics as it were, and as you know, we can already give it intravenously, and it's well tolerated so - check that box. With respect to what we do with it, I think as I said, we're now in a phase where we will certainly be exploring all strategic possibilities. And that would include carrying it forward beyond Phase 1 ourselves, but all the way through to seeking collaborations or partnerships with it. And we're open minded as we sit here today, with respect to that. It's a really cool molecule, we were excited to get it into the portfolio, but it's not our, two plus two, the tetravalent bispecific is not from our platform. And so although it fits is a second generation molecule, we'd be happy to collaborate under the right circumstances. We want to make sure that - these sorts of molecules get taken forwards to benefit patients' that's for sure.
Patrick Trucchio: Yes. And then just with the FS120 and FS222 data readouts expected later this year, I'm wondering if you can frame for us your expectations on those readouts in the next steps for the programs?
Eliot Forster: Sure, so FS120 I think as I mentioned will give an update at next month’s ESMO, it will be a trial in progress update really to address, some of those slightly hanging tolerability questions in the first instance. But also to give some guidance as to the sort of biology we'll be looking for to trigger that Keytruda combination, and one or two other minor sort of development steps with that program. And beyond that into the first half of next year or beyond, we'll be looking to get that combination started, although of course, we will continue with the mono-therapy study as well, because non-clinically, we did see some actually quite nice mono-therapy effects. Not in the same league as the combination, but nonetheless, effect. And so we should explore those probably as well. For 222, again it's in a Phase 1 ascending dose monotherapy study. We'll provide at the end of fourth quarter, as much clinical and biological data as we can I think in response to an earlier question I said, we continue to be confident in targeting into expansion, those low PD-L1 expressing tumors, and we'll certainly be able to talk about that. We'll give an update on any safety and tolerability data and PK and of course, any clinical data that we have at that stage. We'll be reasonably well advanced to that ascending dose part of the study and into pharmacology, I would anticipate by that stage.
Patrick Trucchio: And then just one on the AstraZeneca collaboration, if you can give us an idea of the cadence of the $300 million milestones and if you couldn't, what proportion or development versus commercial milestones or any details that you can give us on that?
Eliot Forster: Yes, so unfortunate Patrick the only thing I can give you is what was in the press release and then a generic answer. So let me just repeat that so near term, upfront near term USD12 million and at least $300 million in development and commercialization milestones. I think it will be fair to say, without giving too much away, that it's a deal that is structured like most deals you would see between a biotech and a pharma. So all of the development steps in the clinic and beyond, you would see that, but I really can't give you any orders of magnitude or contour around that I'm afraid.
Operator: Your next question is from the line of Justin Walsh with B. Riley Securities.
Justin Walsh: Thanks for taking the questions. The first one, I was wondering if given the Nature Communications publication, if you guys have had any discussions about potentially testing 11285 in combination with radiation therapy, whether that's external or radiopharmaceutical based?
Eliot Forster: Look, it was an intriguing piece of research. And it certainly opened our thinking. But for us, it would certainly be something if we were going to undertake it to be done in collaboration either with a clinical accommodation, which will be interesting, or even through a partner, where as you know focused on the development of 11285 in combination with Tecentriq, so, Russia's PD-L1 and agonist, and for us, that's really got to be our main focus at this stage We're very intrigued by the emergence of new data all the time with respect to how radiations affecting the tumor microenvironment in the immune profile there and we keep an eye on it. And it is interesting to see that 11285 may have some synergies there. But right now, our focus has got to be on that combination with PD-L1.
Justin Walsh: And my second question is also on 11285. So, it's great that AstraZeneca came in and licensed the STING inhibitors. Did they express any interest in the agonist side of things or is it really just that you guys are bringing that forward a little bit further for those types of topics?
Eliot Forster: Yes, so we really narrowed the conversation just to the inhibitors. The 285 program as I mentioned earlier is we're working through a particular program of work. We've option ourselves to step to the next level by expanding the dose group because of the data we've seen. But the AZ conversation was limited to the inhibitors. As you know, the inhibitors are to be used in inflammatory diseases and so on. And that's really not an area of our expertise. It's interesting, but not within our expertise. We do cancer, as it were.
Operator: [Operator Instructions] At this time, I'm showing that there are no further questions, I would like to turn the call back over to Elliot.
Eliot Forster: Well, thank you very much. And thanks, everyone for joining us this morning. I hope you'd agree we've had a productive quarter. And we've continued to deliver on our corporate and clinical strategies. With the expansion of FS118, we believe there's huge potential. And of course, our other three clinical stage programs progress well over the period. We have a strong cash runway and we're on track to deliver many more clinical milestones planned over the next 24 months. And new partnership with AstraZeneca marked another highlight in our collaboration strategy for our non-core assets. With that, I'd like to thank you all again. In particular, our new and existing investors, our colleagues who show unwavering dedication to the mission from the labs to the clinic, and of course, all of the patients and healthcare professionals who contribute daily to the progress of our clinical trials. F-star will continue to work to bring medicines to the market that will truly transform the lives of patients with cancer. And we look forward to updating you all again in the fall. And with that, thank you very much and goodbye.
Operator: Thank you ladies and gentlemen for participating in today's conference call. We ask that you now disconnect your lines.